Operator: Welcome to Sysco's Fourth Quarter Fiscal Year 2024 Conference Call. As a reminder, today's call is being recorded. We will begin with opening remarks and introductions. I would like to turn the call over to Kevin Kim, Vice President of Investor Relations. Please go ahead.
Kevin Kim: Good morning, everyone, and welcome to Sysco's fourth quarter fiscal year 2024 earnings call. On today's call, we have Kevin Hourican, our Chair of the Board and Chief Executive Officer; and Kenny Cheung, our Chief Financial Officer. Before we begin, please note that statements made during this presentation that state the Company's or management's intentions, beliefs, expectations or predictions of the future are forward-looking statements within the meaning of the Private Securities Litigation Reform Act, and actual results could differ in a material manner. Additional information about factors that could cause results to differ from those in the forward-looking statements is contained in the Company's SEC filings. This includes, but is not limited to, risk factors contained in our annual report on Form 10-K for the year ended July 1, 2023, subsequent SEC filings and in the news release issued earlier this morning. A copy of these materials can be found in the Investors section at sysco.com. Non-GAAP financial measures are included in our comments today and in our presentation slides. The reconciliation of these non-GAAP measures to the corresponding GAAP measures is included at the end of the presentation slides and can be found in the Investors section of our website. During the discussion today, unless otherwise stated, all results are compared to the same quarter in the prior year. [Operator Instructions] At this time, I'd like to turn the call over to Kevin Hourican.
Kevin Hourican: Good morning, everyone, and thank you for joining us today. During our call this morning, we will cover the following key topics. Food away from home volume trends, including foot traffic to restaurants, Sysco's performance for the quarter and the year relative to the overall market, and status updates on key topics of interest, including inflation, local case growth, supply chain productivity, and finally, Kenny will cover the financial details of our Q4 2024 as well as provide our fiscal 2025 guidance. Let's get started with key highlights of the business on Slide number 5. I'm pleased to report that Sysco delivered $79 billion of top-line revenue for the year, a growth of 3.3% versus fiscal 2023. The revenue growth was driven by USFS volume growth of 3.1% and USFS inflation of 0.5%. Sysco profitably took market share in fiscal 2024. I will speak more to this in a moment. Importantly, we delivered adjusted earnings per share of $1.39 for the quarter and $4.31 for the year. The full year performance was $0.01 higher than the midpoint of the guidance that we provided at the beginning of fiscal 2024. Kenny calls this our say-do ratio. And I'm pleased that we delivered above the midpoint of our initial guide for the year, despite a softer economic environment in the second half of the fiscal year. During our Q4, our team once again displayed agility and accountability, enabling a strong financial performance despite negative year-over-year foot traffic to restaurants. As I said in my intro, I would like to start by providing an update on the health of the food away from home industry. Traffic to restaurants was down approximately 3% year-over-year for the quarter. This is consistent with what you have heard from many restaurant names over the past couple of days and weeks. Sysco was successfully able to grow our volume 3.5% for the quarter, despite the decline in year-over-year foot traffic. We did this by taking market share versus the overall market. In fact, for the full year, we grew our business more than 1.75 times the market. That performance was above our stated goal for the year of 1.5 times market growth. Sysco's performance versus the market is calibrated via multiple external sources and the performances versus the total industry overall. The strong 1.75 times growth was a result of several important factors, as seen on Slides 6 and 7. The largest distributors in the industry are taking share versus the overall foodservice market. Sysco specifically is winning with our specialty platforms, including FreshPoint and our specialty meat businesses, as well as our recent acquisitions like Greco and Edward Don. The combination of our industry-leading broadline business with our expanding specialty portfolio is winning in the marketplace. Lastly, our national sales business is winning versus the total market, with notable wins in the foodservice management space and hospitality. We are pleased with our overall performance versus the total market. And with that said, we are not satisfied with our growth in the important local segment. As we covered at our Investor Day, we are confident that we can improve our local case performance in fiscal 2025. I'll speak more to those plans in a moment. For the fourth quarter, Sysco delivered the following performance. Continued and compelling profitable case growth within national accounts. Local case growth of positive 0.7% to last year. Importantly, our local cases in international grew 5% for the period. SYGMA cases grew 5% from Q3 to Q4, with a June exit velocity of positive year-over-year growth. This is a reversal of recent negative volume trends within SYGMA, as we have last week 52 of a customer exit and we have signed new profitable business that had start ship dates during our fourth quarter. We expect SYGMA to be a volume and profit growth business in fiscal 2025. Sysco has a well-balanced business with strong market share in the non-restaurant space. Many of the non-restaurant sectors, like healthcare and foodservice management, are less impacted by consumer confidence in restaurant foot traffic. At times like these, our well-balanced business portfolio is a strong asset for Sysco, including our international segment. Our gross profit rate for the quarter was strong, with GP growing 4.2% year-over-year and GP per case growing 1.3% versus prior year. Our merchant team continues to do an excellent job with strategic sourcing and product innovation. Overall expense management continues to improve year-over-year, with operating expenses increasing slower than our top-line. Most notably, our corporate expenses were down 10% for the quarter on a year-over-year basis. The corporate expense reduction was a result of the efficiency work that we deployed in Q3 of this year. Benefits from those expense reductions will continue into 2025, and Kenny will speak to that in more detail. All told, these factors resulted in a 6.4% increase in our operating income year-over-year, enabling us to exceed the midpoint of our full year adjusted EPS guidance. Now that I have highlighted our financial performance for the quarter, I would like to continue the theme of our Investor Day and provide you a bit more color on two of the biggest levers within our P&L: local volume growth and supply chain productivity improvement. Let's get started with volume growth. Specifically, I'll highlight progress we are making on the actions to deliver increased profitable local case volume in fiscal 2025 on Slide number 9. First, let me start with hiring status. In full year fiscal 2024, we successfully hired 450 net incremental sales professionals. The colleague hiring ramped throughout the year, with many of them being hired in the second half. The new colleague cohorts hired in 2024 will begin positively impacting our P&L throughout fiscal 2025, as they grow their new territories and become more knowledgeable about our product offerings. As we mentioned on our Investor Day, we plan to hire an additional net 450 sales professionals in fiscal 2025, with those new cohorts expected to positively impact our fiscal 2026 results. We are confident in our ability to hire and train these new colleagues. In fact, we are supplementing our industry-leading training program by hiring more sales trainers in sales administrative staff. One of our top priorities as a company is to ensure that these new colleagues get the training that they deserve and ramp up the productivity curve in an efficient manner. Our executive leadership team is taking personal ownership to ensure we track the new trainees cohort by cohort to ensure that they are maturing on schedule and that they are provided the support and resources they need to be successful. Our strong supplier community will be assisting in the ever-important product training that goes along with new colleague hiring. We greatly appreciate our supplier community for their support. On the first day of our new fiscal year, we introduced a new compensation program for our U.S. broadline sales colleagues. We have remixed the base pay to incentive ratios within our compensation program. In the process of doing so, we have increased the earnings potential of our sales staff, and the incentives put in place motivate the specific behaviors that will help advance Sysco's P&L. The communication and change management of the new compensation program is well underway, and we are confident that this program will be good for our colleagues, our customers, and our P&L. Benefits of this new program will be felt as the year progresses, but I don't anticipate any major movement in Q1. Our total team selling program continues to advance, with our sales consultant generalists partnering better than ever with our produce and protein specialists. At our Investor Day in May, Greg Bertrand, our Global COO, covered the compelling growth opportunity via our total team selling program. As he presented in May, a customer that buys from Sysco broadline plus one of our specialty businesses spends three times more per week than a broadline only customer. Winning with specialty is a $10 billion plus opportunity for Sysco as we work to earn our fair share of the specialty market. Sysco specialty is a compelling moat versus the overall industry, as it has taken more than 20 years for us to assemble our specialty assets. Integrating the systems, supply chains, colleague compensation programs, and the important go-to-market selling strategy between specialty and broadline, this was a very large work effort. In the coming years, we will continue to expand our specialty capabilities, both domestically and internationally, through a combination of M&A and greenfield activities. For example, we are adding our Asian Foods business to our recently opened Allentown, Pennsylvania distribution center. This addition will greatly improve our ability to serve the large and growing Asian markets in the Northeast. Lastly, our international business delivered compelling local case growth of 5% for the quarter. We are running the Sysco play internationally, with programs like Sysco Your Way and Perks! beginning to positively impact our outcomes. We are also bringing improved technology and Sysco brand products to these important geographies. All told, the strong local case growth enabled our international segment to deliver a compelling 13.1% profit growth in the quarter. We expect international continued to be a top- and bottom-line tailwind for Sysco and fiscal 2025. Now that we have covered our local case growth performance, let's turn to the status and health of our supply chain. As I have said many times, the key to success in this business is being the distributor that can consistently ship on-time and in-full to our customers. Over the past quarter, we have continued to make progress in improving our service levels to our customers. We improved and advanced our on-time rates with a dedicated focus on routing excellence. I'm proud of our operations team for the hard work and for the improvement that they are making in on-time delivery. You can see the impact on our NPS scores as satisfaction with delivery is up versus prior year. In addition to the good work with delivery service levels, our merchandising and inventory teams continue to work collaboratively to improve our first-time fill rate. Progress is being made on core in-stock items as well as improving our agility when a supply chain disruption occurs at one of our suppliers. We improved versus prior year in both aspects and will make additional progress in 2025. We have increased the importance of fill rates and our leadership performance evaluation metrics for 2025. Fill rates are a strength point for Sysco historically, and we are working to further advance that advantage through these efforts. As I have mentioned many times, the number one lever to improve our supply chain cost performance is to increase colleague retention. Retention rates improved sequentially quarter-over-quarter throughout the year, and they more than doubled compared to the prior year in the fourth quarter. The improved retention is showing up in improved safety metrics, reduced product shrink and increased productivity of our colleagues. Many of these items, like workers comp and auto liability, have a long tail, so the improvement we are driving now will reflect positively in our P&L in fiscal '25 and '26. The last topic to cover in our supply chain update is the progress that we are making to expand our throughput capacity. During our Q4, we opened our first DC fold-out in more than 10 years in Allentown, Pennsylvania. This facility will help Sysco better serve the population dense in Northeast corridor by increasing service levels and lowering our costs to serve. As I wrap up my prepared remarks, I want to thank the entire Sysco team for a strong year. We grew our business more than 1.75 times the overall market at industry-leading profitability metrics, and we exceeded the midpoint of our EPS guide for the year. Importantly, we have continued to advance our business strategy, making progress in important areas like improved technology and customer programs like Sysco Your Way and Perks!. Lastly, we are focused upon the most important things to ensure success for fiscal 2025 and beyond. And we are positioned well to deliver against the guidance that Kenny will share in a moment. So, with that, I'll now turn the call over to Kenny, who's going to highlight the fiscal details of the quarter and our year, as well as tee-up our guidance for fiscal 2025. Kenny, over to you.
Kenny Cheung: Thank you, Kevin, and good morning, everyone. I would like to start off by thanking our customers, colleagues, shareholders and partners. This quarter's results further demonstrates our ability to deliver solid financial performance in a relatively softer macro environment. Our focus on core performance drivers enhanced operational discipline. As we have said before, business plans don't always materialize the exact same way you draw them up on paper. This past year was no different. We focus on operational discipline and tighten the belt to deliver on our initial profit guidance. I'm confident these choices, however, difficult at the time, create long-term structural returns. There is muscle memory across the organization, helping develop a stronger operating model that positions us to grow share profitably as we look ahead. Q4 financials reflect positive sales and volume growth, as well as our seventh consecutive quarter of positive operating leverage, with gross profit growing faster than operating expenses and operating income growing faster than sales. Altogether, these rendered growth across adjusted operating income and EPS, with the full year coming in $0.01 higher than the midpoint of the guidance range. Given the multiple levers across our business, we improved efficiency both on gross profit and operating expenses. GP dollar growth of over 4% was driven by optimal pricing and sourcing improvements. Operating expenses included record levels of supply chain productivity improvements, coupled with our continued focus on managing corporate expenses, which were down 10% year-over-year. These efforts helped us deliver our profit growth, reinvest back into the business, and return over $2.2 billion back to shareholders in FY '24. Now, turning to a summary of our reported results for the quarter, starting on Slide 14. For the fourth quarter, our enterprise sales grew 4.2%, driven by U.S. Foodservice growing 4.9%, International growing 3.8% and SYGMA growing 2%. With respect to volume, total U.S. Foodservice volume increased 3.5% and local volume increased 0.7%. Don positively impacted U.S. Foodservice volumes by 2.7% and local volumes by 1.6%. We produced $3.8 billion in gross profit, up 4.2%, and gross margins of 18.7% was approximately flat with prior year due to mix. Our gross profit dollar improvement reflected our ability to continue to effectively manage product inflation, which came in at 1.6% for the total enterprise, consistent with our expectations. The improvement in gross profit was also driven by incremental progress from our strategic sourcing efforts in our U.S. and International segments. Specific to Sysco brand, penetration rates decreased by 51 bps to 36.6% in U.S. broadline and 37 bps to 47.1% in U.S. local results. We continue to improve with local customers with single units, despite pressure from local businesses with multiple units. We have a strong history of growing Sysco brand penetration, and we have trade management actions to improve the mix over the course of the year. Adjusted operating expenses were $2.8 billion for the quarter, or 13.4% of sales, a 12 bps improvement from the prior year, reflecting supply chain and corporate expense efficiencies. Adjusted operating income was $1.1 billion for the quarter, improving to 5.3% margins. For the year, adjusted operating income grew 8.4% as we expanded margins both on a dollar and rate basis. Most noteworthy, our International segment continued to deliver substantial growth, demonstrating positive operating leverage and margin expansion. This included a 13.1% increase in adjusted operating income, with our teams successfully growing share and executing the Sysco playbook with best practices. This segment remains a growth driver for the Company. Adjusted OI growth also benefited from SYGMA contributing 44.4% profit growth, as we continued to focus on profit enhancements and growth from new customers. For the quarter, adjusted EBITDA increased to $1.3 billion, or up 5.4%. I am also pleased with the health of our balance sheet, which further strengthened this quarter. We ended the year at 2.7 times net debt leverage ratio, which is within our target. We ended the year with $11.3 billion in net debt and approximately $3.5 billion in total liquidity, which is a substantial headroom above our minimum threshold. Our debt is well-laddered without any maturities over $1 billion until FY 27. Turning to our cash flow on Slide 23. We generated approximately $3 billion in operating cash flow and over $2.2 billion in free cash flow, which was a new record. Our conversion rate from adjusted EBITDA to operating cash flow was over 70% and free cash flow conversion was over 50%, showing the Company's robust earnings power. Our strong financial position enabled us to return over $2.2 billion to shareholders this year. This was done through $1.2 billion of share repurchases and $1 billion of dividends. Despite the current macroeconomic landscape, we are poised to grow both top-line and bottom-line results in FY '25, in line with the financial algorithm range. As a refresher from our Investor Day back in May, our three-year growth algorithm calls for sales growth of 4% to 6% and adjusted EPS growth of 6% to 8% per year. We continue to be confident as we believe this algorithm is achievable and one we can deliver on a consistent basis. Let's go a bit deeper on 2025 guidance as seen on Slide 25. During FY '25, we expect net sales growth of 4% to 5%. Net sales growth includes inflation of approximately 2%, which we are seeing now, and positive volume growth of low-single-digits for the year. We also anticipate a slight benefit from M&A during the year. All in, we are guiding to adjusted EPS growth of 6% to 7%, in line with the financial algorithm range. As we highlighted at the Investor Day, 2025 EPS growth will be impacted by non-operational below-the-line items with a higher tax rate and interest expense. We are confident these targets are achievable. Regarding phasing for the year, we expect similar traffic trends from this last quarter to continue into Q1, with modest industry traffic improvements in the back-half of FY '25. We also expect benefits from our investments in sales professionals and other growth initiatives as the year progresses. Consistent with our ROIC focus, our investments with sales professional hiring will yield meaningful returns over the long term. As Kevin stated earlier, we remain focused on improving local case performance in FY '25. For example, the sales consultant comp structure will shift to more bonus, less base, raising performance driven incentives and ensuring operating expenses will correspond more closely with sales results. We will be disciplined in adding self-headcount in high-growth areas, and we will be focused on profitable local sales growth. Turning to expenses. We expect further improvements in operating leverage based on a continuation of the process improvement from this past year across our supply chain and corporate expenses. We ended FY '24 with strong cash flow conversion rates, highlighting the importance of cash generation. For FY '25, we expect a continuation of strong conversion rates in working capital management. We expect to distribute essentially all of our free cash flow to shareholders in 2025, depending on the volume of M&A activity, as we did in 2024. Returning cash back to shareholders is an important part of our capital allocation strategy, as we value our dividend aristocrat status, as we expect to pay over $1 billion related to dividends in FY '25. Additionally, we are targeting approximately $1 billion of share repurchases, with fluctuations dependent on M&A plans. We also expect to operate within our stated target of 2.50 times to 2.75 times net leverage for the year. We wanted to provide guidance on several other important modeling elements. The tax rate for FY '25 is expected to step-up to approximately 25%. The increase is driven by global minimum tax rate. Interest expense is expected to step up to $650 million. Other expense is expected to be approximately $50 million and adjusted D&A is expected to be approximately $800 million for the year. CapEx is expected to be approximately 1% of sales. We will look at each investment through the lens of driving both growth and ROIC. As a company, ROIC will dynamically guide our operating and investment decisions, which will accrete shareholder value over time, as we continue to focus on both margin dollars and rate growth. In closing, I'm pleased with our quarterly performance as we have tremendous opportunities ahead. I'm continually impressed by the size and scale advantages at Sysco. We are the industry leader in a growing industry. The stronger operating model, I mentioned before, allows us to continually enhance our competitive advantages in this highly fragmented market. Consistent performance, combined with Sysco's focus on the long game, is a winning formula to create compounding benefits for our shareholders. Our scale advantages are reflected in our industry-leading margins. Sysco's diversification as the industry leader across customer types with two-thirds in restaurants and one-third in recession-resistant categories, such as education and healthcare, is also a structural advantage. Our robust industry-leading operating cash flow and strong investment-grade balance sheet gives us access to capital at attractive rates, so we're able to take advantage of high ROIC growth opportunities, as they present themselves. And as you can see in our performance results, our International segment is proving to be a benefit, contributing higher rates of growth than our U.S. business. We believe International can continue to be a profitable growth engine for Sysco. As we embark on a new fiscal year, I look forward to our progress ahead. We are positioned to win. Thank you for your time today. With that, we are now ready for questions.
Operator: Thank you. [Operator Instructions] We'll go first to Mark Carden with UBS. Please go ahead.
Mark Carden: Great. Good morning. Thanks so much for taking the questions. So to start, I wanted to dig into some of your on-demand commentary a bit. Are you guys seeing trade down and trade out impacting a broader customer demographic, or is it still largely confined to the lower to middle end here? And then on top of economic concerns, would you expect for uncertainty around the election to have much incremental impact on food away from on-demand in the quarters ahead?
Kevin Hourican: Good morning, Mark. It's Kevin. Thanks for the question. So relative to just what's happening with the macro, trade down, trade out, we're seeing reasonably consistent performance across all forms of restaurant types. It's not just QSR that's being impacted. So pretty consistent traffic declines, by segment. We have a tremendous amount of data, as you know, serving the highest end white tablecloth all the way down to QSR and everything in between. So I just start with traffic to restaurants down 3% for the quarter, as I mentioned in my prepared remarks. We don't anticipate that getting much better in the near term, probably through the election as you indicated. Kenny indicated in our fiscal 2025 guide, we anticipate some improvement in the macro backdrop starting in the second half of our fiscal year. So calendar beginning 2025, hopefully interest rates coming down will be a catalyst for that type of improvement. Why would traffic be down? We believe it's the cumulative impact of inflation over the past three years, while inflation has moderated significantly over the past year. It's still the cumulative impact over the past three years of price increases. As always, we at Sysco convert that into actions that we're taking. We can profitably grow our business even in a slower backdrop, as we did in this most recent quarter. I'm really pleased with our performance in the non-restaurant segment, specifically FSM and travel and hospitality. We're doing very well in those two spaces. Our international local business growing notably. And within local in the U.S., I communicated on today's call the actions that we're taking. We're not satisfied with our current rate of performance in local. We have a strong plan to improve throughout 2025.
Mark Carden: Great. And then as a follow-up, you're now a few quarters into your new sales force hires. How is retention trending relative to your expectations? Does it become any tougher to hold on to new sales people and an increasingly challenging macro? And does the ramp become any tougher, for those with less direct foodservice sales experience?
Kevin Hourican: Mark, thanks for the follow-up. We track our retention on a daily, weekly, monthly, quarterly basis. No notable call outs on turnover or retention. We have solid retention of colleagues. We don't anticipate the hiring of the new folks to change that dynamic. What the key to success for '25 will be is ramping up the productivity of that sales colleague workforce, providing them the training that they need. A lot of it is product training, to your point, depends on where they come from. If they come from a culinary background, if they were a sales rep at a competitor, we can ramp them up faster. If they're a good sales colleague, but they need to learn the food space, food business, there's a lot of product knowledge training that goes along with that. So the real key is that focus. Intense, meaningful focus on the training of those new cohorts, working them up the productivity curve. That's the real key to success. That's why we've communicated that the hiring that we did throughout 2024 will positively impact 2025, but more in the back half, the majority of the hiring that we did for that net 450 colleague population was in the second half of fiscal 2024. Related, tied to what you brought up, is we introduced a new compensation model. I'm sure we'll get some questions about that on today's call. We will monitor retention of colleagues very closely tied to that new comp model, but net-net, we're optimistic and confident that the new comp model will positively impact results.
Kenny Cheung: Hi Mark, I think one thing to add on the compensation model, one is, as I mentioned earlier in the prepared remarks, we're shifting to a more variable incentive plan, which allows us to grow sales, and commensurate with expenses. So matching health flows and inflows of cash, which also helps working capital. The other thing is, this plan is the epitome of growing profitably, right. And what I mean by that is the construct of the plan, rewards growth and profit. Paying relatively more for example, a local case growth, Sysco brand and products, total team selling, specialty and the like. So, it's truly a win-win for our sales professional as they have the opportunity to win, to make more, and for our company to create value in the P&L.
Mark Carden: Great. Best of luck guys.
Kevin Hourican: Thank you, Mark.
Operator: Next, we'll hear from Lauren Silberman with Deutsche Bank.
Lauren Silberman: Thank you for the question. I first wanted to ask about the promotional environment. Obviously, restaurant industry is challenged. Growth margin looked like it was down in the U.S. Foodservice business. Are you seeing an increase in promotional activity to drive customer acquisition more up front, or discounts? Then any discussion on gross margin would be helpful? Thank you.
Kevin Hourican: Yes, Lauren, good question. With traffic down to restaurants, cases per operator would be negatively impacted by that fact. And therefore, distributors of all types and all sizes, are going to work hard to be able to get profitable cases to be put on their truck. So yes, it's a competitive environment and competitive intensity increases when traffic is down. We at Sysco, as you're well aware, operate at the highest profit margin rate in the industry. We are extremely disciplined in our process of evaluating pricing strategies for customers. We will not sell cases below cost. We are very disciplined in that regard. Our pricing system, pricing tool, and pricing process enables for our RCs to sell competitively in the marketplace, but within guardrails. So pleased with our performance in profit management, during the most recent quarter. It helped enable strong overall bottom line results. With that said, I'm going to toss to Kenny for further comment on gross margin. Kenny, over to you.
Kenny Cheung: Hi, Lauren, this is Kenny. So on gross margins and gross profit, a few things here. I'll take a step back, gross profit for the quarter grew 4%, and gross profit per case grew 1% year-on-year. So for us, dollars really matter here. Now, to directly answer your question on the margin front, the key driver of margins slightly down year-on-year is, because of the mix. So if you take a step back, we continue to grow and take share in the CMU space profitably. And that action, while it's margin dollar accretive, it does dilute to some extent margin rate. So with that said, we'll continue to grow both CMU and local and take share, which we have tangible actions against. And the other piece is Sysco brand. It was slightly down year-over-year, as you may have seen in the press tables. And we have tangible actions in plan as well, to drive Sysco brand penetration for the remainder of the year. This includes additional product conversion opportunities, short-term incentives for targeted categories, and driving more product innovation as well. So I'm pretty confident that despite the fact that we already have roughly $22 billion of Sysco sales annually, we can continue to penetrate on the space and drive margin for our P&L.
Lauren Silberman: Great. Very helpful. And then if I could just ask about some of the comments on case growth, the cadence throughout the quarter, restaurants have seen a slowdown in June and July. Any thoughts on if that's where we should expect trends are running to start fiscal 1Q, and if we should expect relatively similar trends in 1Q, to what you saw in 4Q? Thank you very much.
Kevin Hourican: Yes, Lauren, thanks. We won't comment on July specifically, but I'd say Q1 macro environmental conditions are very similar to the exit velocity of Q4, and that's been factored into the guidance that we are providing today. And as I mentioned, we have the opportunity to grow our business profitably, and be successful in that softer environmental conditions. And we anticipate some improvement in the second half of this fiscal year. New customer prospecting is an increased focus for our Sysco sales colleagues. 50% of the restaurant doors are not currently served by Sysco, and we have a substantial opportunity to grow our customer count, and we're very focused on that. The new compensation model that Kenny talked about, one of the key elements of that program is to incent and motivate new customer acquisition in a profitable way. Kenny and additional thoughts?
Kenny Cheung: Sure. So from a phasing standpoint, just to provide color, as Kevin said, I agree. We're seeing similar industry traffic patterns from last quarter into this quarter. So now as you think about the guidance for the year, the 4% to 5%, within that we have volume at low single-digits. And in particular, if you think about the pieces of that, most of the hires was completed in the back half of FY '24. And the new compensation program was just recently rolled out as well. So we start seeing the financial benefit from this investment in the back half of fiscal year.
Lauren Silberman: Thank you very much. Very helpful.
Kevin Hourican: Thank you, Lauren.
Operator: We'll go next to Jake Bartlett with Truist Securities.
Jake Bartlett: Great. Thanks for taking my question. My question was on the sales force investments. And I understand you mentioned that retention has not changed materially, which is encouraging. I think there's some concern among investors that the changes that you're making, the large investments, would create some disruption. Maybe it's disruption of accounts switching sales people. And that provides opportunity for competitors to kind of come in and take them. So the question is, should we expect a disruption in the near term? I mean, is that one reason why sales might be a little bit kind of weaker as this initiative gains steam? Just wanted to get your comments on the near term impacts of these investments?
Kevin Hourican: Okay. Jake, very good. It's Kevin. I'll start just macro commentary about the new sales colleagues, a little bit more color on the comp model. I'll then toss to Kenny, who can talk about how these two factors impact our guide for the year, and our confidence in delivering against the guidance that we provided for the year. So let's again go back to the sales colleagues, net 450 new SEs. Let's do a refresh on the why we're doing this. Our territory sizes have grown larger than we would like them to be over the past few years, given the growth in our business, the number of new customers that we're serving. And this is a relationships business. We desire for our SEs, to be in our customers' accounts on a weekly basis, having quality conversations about the business of that restaurant, helping them with challenges and issues that they're facing to help profitably grow their business and ours. And that can only happen if they're in the back room of the restaurant kitchen. So that's the net-net objective, increase boots on the ground in the restaurant, territory sizes have grown too large. So the positive yield of having increased base time outweighs the short-term disruption of the territory realignment that, Jake, your good question is alluding to. But let me just put that in a little bit of context. So existing SEs, they would give up approximately one current customer to this net new hire. It's not like an existing SE is giving up 10%, 20%, 30% of their business. They're probably giving up one new customer, excuse me, existing customers. We then expect that current SE to go backfill that, right, to grow their business. And then this new colleague who has a starter territory, the main job to be done by that person is to go get net new customers to Sysco. So the disruption that you're alluding to is real, but it's manageable given the net-net context that I provided. And the majority of this growth is coming from winning new customers to Sysco. So that's tied to the hiring. And it's not a flip of a switch, right? These are classes that are hired in cohorts. They hit the streets over time. This is why it's a gradual ramp up of performance over time. The compensation change went live on July 1. So we are one month into that comp change. Just again, a refresh on what we have done here. We've remixed base to bonus, AKA lowered base pay, putting more dollars into the incentive program. I want to be very clear about one thing. Every sales colleague at Sysco has the opportunity to make more money in this new program than they were making before with uncapped earnings potential through the incentives. It is a net positive for our sales colleagues. But as Kenny talked about in his financial modeling, their pay will be consistent with their performance. For our top performers, this change is a very, very good change. It's the type of change that our top performers want. If you remember back prior to COVID, they were on full commission. Our top performers, they want to be paid on their performance. And this program does more of that. For a lower performing colleague, or a newer performing colleague, they need to improve their outcomes. And they need to improve those outcomes through behavior focused on, key deliverables that we provide them coaching, and resources to succeed against. And it's that colleague population that needs to impact positive their performance to make the type of money that they expect to make and that we want for them to make. Our sales leadership team, extremely focused on that population of colleagues, to help them be very successful in this new model. And Jake, we're going to monitor the change management of that very, very closely. And that would be a Q1, Q2 meaningful focus, which is why I said in my prepared remarks today, the comp model change that we put forward that started July 1, will have more of a second half of this year positive impact. Kenny, over to you for any additional comments.
Kenny Cheung: Sure. Thanks, Kevin. So, the sales hires, as we said before, this is ROIC positive. That's the headline news. We are deliberate in terms of when and where we add, meaning investing in high growth markets, to ensure optimal return on investment. Now, Jake, kind of to double click on your question in terms of timing. Now, there is some timing, given early on the full return isn't rendered given timing of the ramp, as Kevin mentioned, Kevin mentioned not a flip of a switch. So, the good news is we have other levers in the P&L, to ensure we receive leverage from the enterprise standpoint, expand margin on the bottom line, which is on the guide. All in all, we are confident with the return for our sales consultants and we're confident in our guide.
Jake Bartlett: Thank you.
Operator: We'll go now to John Heinbockel from Guggenheim. Apologies.
John Heinbockel: So, Kevin, I want to start with going back to U.S. gross margin, right? Because that was sort of an unusual decline versus, what we've seen from you and others. So, I guess as I understand it, the bulk of that, the bulk of the 32 basis points was mixed, both customer and product. So, is that fair? Do you think that is that a one-off or we, the idea we're sort of going to be in negative territory here for a little bit? And then I'm not sure what you put into your guide for '25 on U.S. gross. Did you sort of assume flattish and a rebound in the back half of the year?
Kevin Hourican: Hi, John, good morning. I'll start, it's Kevin, I'll toss to Kenny for the comments on the '25 performance. So, it's customer mix and Sysco brand percentage mix are the two primary drivers. As Kenny said, we've profitably grown our CMU business. Key there is profitably grown. We've improved our profitability of CMU, and we have some real solid wins in that space. And we grew national CMU faster than local in the most recent quarter, which applied some margin rate pressure to the overall. We're pleased with our gross margin performance within the local business. It's a customer mix shift. See our comments on the need to improve our local performance that we're not satisfied, with our local case growth performance. We are going to grow our local business responsibly and profitably. We're not going to chase cases - to chase cases. We will be disciplined. We will be pragmatic and thoughtful, but we need to improve our local case performance, and we will and we anticipate that impacting positively, our 2025 business performance. The second part Sysco brand, Kenny did some key commentary early about that. If I could just add one piece of color to Sysco brand, one of the backdrops as to why Sysco brand was slightly down on a percent basis year-over-year, to be clear, Sysco pieces, Sysco brand pieces were up 2% year-over-year. Our GP dollars from Sysco brand was up 3.2%, but there was a minor percentage reduction of mix to national brand products. Here's the key point, our fill rates of national brand suppliers have improved on a year-over-year basis and a quarter-over-quarter basis. So there's less substitution happening from national brand out of stocks into Sysco brand. While that has a slight negative impact on margin rate, that's actually a good thing for our business. It's a good thing for our operations. We want our suppliers to fill on time and ship to Sysco, including our national suppliers, and it's a good thing that national supplier fill rate improvement has stepped up. In the meantime, it has a moderate impact. We are confident that we can increase Sysco brand penetration. Kenny talked to those hows, but by providing value to our customers, motivating our colleagues, through their performance evaluations to be focused upon it, and bringing product innovation to our customers through Sysco brand. So Kenny, over to you for any comments about the modeling for '25.
Kenny Cheung: Yes John, so the way to think about the modeling is, as Kevin talked about, as we start realizing benefits from our sales consultants' investments, new compensation models, the Sysco brand actions that Kevin talked about, that should drive further leverage on the GP side. You should expect the GP dollar per case to expand for us, on a year-on-year basis for 2025. And the thing we haven't talked about is also specialty. Specialty is also a GP accretive action for us, and that business is growing very well for us as well. So both of the - all three things, Sysco brand in terms of, and then local sales and also - and specialty growth will all drive our GP dollar per case for us.
John Heinbockel: All right, maybe as a quick follow-up, just curious, going sort of going back to existing account opportunity, right, particularly as you free up some time here for existing sales consultants. I know there's a headwind, right, a macro headwind, but maybe touch on that opportunity, right, to make some improvement in existing wallet share. And then I guess, Kevin, when you think about local case growth, I mean, I think you want to get into the 2% to 3% range ultimately. What do you think is a reasonable target, or the target that you would have for sort of exit rate of fiscal '25? Is that a fair exit rate, or is that an optimistic one?
Kevin Hourican: Yes, just the first part of your question first. I'll toss to Kenny. He's always going to be the one that talks about the guidance that, we have provided in case growth is a part of that guidance, so he'll do that part. The two main levers for existing customer case penetration improvement opportunity that I would highlight is the total team selling opportunity that Greg Bertrand covered at our Investor Day. We have a very large sample size now of customers that we have sold from a total team selling perspective, and when we can bring that specialty produce sales rep from FreshPoint into an existing broad line account, or bring a sales protein expert from our SSMG business, specialty meat business, into an account, that customer spends three times more with Sysco, and those are cases. Those are cases that are higher average ticket, and those are cases that are probably going on a specialty distributor's truck today, and getting them on the Sysco truck or on a FreshPoint truck is a meaningful positive. So, we are meaningfully focused on that total team selling opportunity. We have tremendous data, and we know exactly which customers, are using that type of product and not buying it from Sysco. We have prospect lists. We can track those prospect lists on an ongoing basis. Our compensation systems are properly calibrated to reward that behavior. We can track it by geography. We can track it by site. We are tremendously focused on moving the needle on winning with specialty. It's our number one opportunity to improve cases per operator within existing customers. The second vector, though, that just again has tremendous upside still despite multiple years of success is our Sysco Your Way neighborhoods. Those neighborhoods tended to be previously prior to Sysco Your Way neighborhoods, where we under penetrated both cases per operator and number of doors covered, most likely and most often, because these are urban areas where Sysco historically, has underrepresented from a market share perspective. Sysco Your Way, we've got internal goals. We've not quoted those statistics externally to increase our market share of existing customers. And we have many neighborhoods that are hitting those targets and many more that still have lots of growth potential. So those are the two things I'm most excited about, Sysco Your Way penetration opportunities and total team selling penetration opportunities. For your modeling question on how to think about local case growth, I'll toss it to Kenny. Kenny, over to you.
Kenny Cheung: Hi, John. So you can expect local volume to be roughly low single-digits growth for the year. Again, for the entire company as well, low single-digits and as part of our guide, which we are confident as we believe these targets are achievable.
John Heinbockel: Thank you.
Kevin Hourican: Thanks, John.
Operator: We'll go now to Edward Kelly with Wells Fargo.
Edward Kelly: Hi. Good morning, guys.
Kevin Hourican: Good morning, Ed.
Edward Kelly: Kenny, I wanted to start with the guidance, and maybe some color on the cadence of how you're thinking about the guidance for the year. If I look at the volume, obviously, you're expecting a volume improvement through the year, both from the new associates as well as some market improvement in the back half. I'm not sure how meaningful that is. But then you have offsets, I guess, around things like corporate, which look like they may be down quite a bit early on. So how do we think about the cadence of the guidance? And specifically, are you comfortable with the Q1 consensus number, because consensus expectation have you up around the same amount each quarter?
Kenny Cheung: Yes. So let me answer your last one first. So I am confident in the Q1 number, and I'm confident in the full year guidance number as well. Just to recap, before your guide for '25 is within the algo range that we talked about on Investor Day. So that's the point number one. And your second - your first question more around the cadence and the phasing of the forecast, Ed?
Edward Kelly: Yes, yes.
Kenny Cheung: Yes. So from a phasing standpoint, we do - so let me take it in pieces here. From an industry traffic standpoint, as we mentioned, that will improve modestly in the back half of the year. That is our expectation. That's point number one. In terms of the benefits from the investments SEs, given those that were high in the back half, as well as the compensation model that Kevin rolled out - as we rolled out in July 1 that - we should see the benefit in the back half of the year as well. In terms of, call it, productivity, which is another folder of our P&L, that should be throughout the year, meaning we have good momentum from corporate this year down 10%, the assets that we took in Q3, and that rolls over into Q1 immediately. Therefore, we expect leverage in Q1. And that is the gift that keeps on giving, Ed, because it's not just a rollover. We also have robust productivity along, along the next four quarters as well. And then from a supply chain standpoint, we do expect as well continued progress on piece per labor hour and productivity. In fact, Q4 was the highest productivity month supply chain and across the past couple of years since COVID actually had. So we do expect that benefit to be more of a consistent throughout the year. Obviously, you have the inflation wage side, but from a productivity standpoint, that's our day one for us enter the new fiscal year. So productivity consistent throughout the year, volume we expect more back half, given the fact that we expect the industry to bounce back - in the second half of the year.
Edward Kelly: Got it. And then just a quick follow-up on international. Sales inflected in Q4. Obviously, you're still very optimistic about this business. I don't think the macro over there is anything special. So I'm just curious, maybe talk about momentum in the business and expectations for '25 there?
Kevin Hourican: Yes, good question. Thank you for asking about international. You're right that the improvement in our performance, the growth year-over-year, the profit improvement year-over-year is not from a macro. One of your terms is self-help activities in international. Productivity improvement within our supply chain has helped the P&L tremendously, in Europe specifically. We're putting in improved technology to be more efficient, which is, again, helping with our productivity Sysco brand being introduced in countries that did not have it before, which is helping on gross profit expansion. The local case growth that I mentioned, which was 5% local case growth in international is from a concerted effort on running the Sysco play, as we call it. Which is Sysco Your Way being added, Perks being added, adding resources to the local sales force in international countries, several of our larger international countries, Ed, were over-indexed on CMU National. So we're going to maintain, retain and grow profitably in our CMU business with a real meaningful focus on improving local. We have a team that started in our U.S. business that's now leaning and helping with each of those international countries, with their local business. And we're really pleased with the results, and we expect that improvement to continue into 2025. Kenny, is there anything you'd like to say about international?
Kenny Cheung: Yes. So for international, we have a global operating model that's working as we're replicating the success of recipe for growth, and it's working across international markets. I think if you look at the full year, we were top line 7% growth, bottom line, 24%. I do think one interesting fact is it's not just one market, if you look at across our portfolio, every market sitting within. For example, Europe and International Americas for the year, grew double-digit on operating income, every market, right, between Europe and international, America. So it's not just one market leading is. So the benefit that we're seeing is per-base across the board and we expect that to continue in 2025.
Edward Kelly: Thank you.
Kevin Hourican: Thanks, Ed.
Operator: We'll move next to Brian Harbour with Morgan Stanley.
Brian Harbour: Yes, thanks. Good morning, guys. Kenny, just your comments on corporate costs. I know you took some actions in 3Q, right? So that's still kind of a benefit in the first half of the year. But are there ongoing actions just on the corporate cost side, specifically, do you still think you can see improvement there throughout the course of this fiscal year?
Kenny Cheung: Hi, Brian, good to talk to you. Yes, the answer is a resounding yes, but let me take a back step on this one. So corporate expense for the quarter, $205 million. That was down 10% as we talked about. But I also think it's important to note, it was down 7% quarter-over-quarter, driven by the structural cost out we did in Q3. And Brian, to your question, we are looking for more, and we've done more. This includes digital, automation, shared service deployment, indirect third-party procurement savings as well. So the answer is, we've done $120 million-plus last year. Part of it carries over into the new fiscal, and we have a robust pipeline to ensure we continue to execute the product that play across the year.
Kevin Hourican: Specifically in international, in particular, we have structural cost improvement opportunities international that we're very focused on. They've already done great work international, which is driving the outsized profit improvement versus domestic U.S., and we expect that to continue.
Brian Harbour: Okay. Your 2% inflation outlook, is that fairly even through the year? Is it kind of some of the same items driving that, that you called out most recently? Or could you elaborate on that?
Kevin Hourican: Yes. Even throughout the year, this is Kevin. There will be ups and downs by category. Kenny always talks about, we have 13 different category baskets. Some will be up, some will be down. We expect that roughly approximately 2%, which, by the way, we're there right now. We are at that level right now, and we have modeled it, and we expect it to be reasonably consistent at that level throughout the year.
Brian Harbour: Thank you.
Kevin Hourican: Thank you.
Operator: We'll move next to Kendall Toscano with Bank of America.
Kendall Toscano: Hi, thanks for taking my question. Just curious, I know you talked last quarter a bit about maybe needing to see restaurants take down our investment prices a little in order to drive an improvement in industry volumes. So curious if you've seen kind of any of that starting to play out? And when you are assuming that the macro backdrop improves in the back half of next year, is that assuming that there is some price investment, by the restaurant operators? Thanks.
Kevin Hourican: Kendall, it's Kevin. Thank you for the question. It's up to our customers to decide what to do with their menu prices, obviously. What we start with and what we focus on are things we, Sysco, can do to help them driving improved purchasing economics, sharing in the value of that purchasing economic favorability with our customers, advancing Sysco brand. Providing them with products that save them time, save them money, precooked products when it's appropriate for their menu, et cetera, et cetera. So those are the things we can do. Those are the things we will do. We're here to help. As it relates to - are we seeing movement? Yes, we're seeing movements, specifically within QSR. I think that has been a sector that has written a lot and said a lot about the lower-income customer and the impact that raised prices have had upon them. You're seeing a lot of value menu activity happening out there within the QSR space. I do believe it will help that activity. I believe for the other restaurant types, it is about the quality of the product that they're serving, the quality of that in-restaurant experience. And again, us, we being Sysco, providing them with value. As we thought about this year, we didn't model into the year lower menu prices as one of the change vectors within our guide. We expect for consumer confidence to be moderately better in the second half than the first half, mostly through interest rate reductions. Hopefully, they began later in this calendar year. Mortgage rates coming down, that has a psychological impact on consumers as you're well aware. So our second half more optimism is more tied to mortgage rates and interest rates than it is to menu price. And then my main point here, and this is what I want to end, we, Sysco can profitably grow our business in these market conditions. We have share we can take profitably. We have new customers that we can acquire. We have penetration opportunities, back to John Heinbockel's question, with produce and protein. And we are going to profitably grow this business in these market conditions. And all of that obviously was built into the guide that we have for year - excuse me, for the year. Kendall, I'll pass back to you if you have a follow-up.
Kendall Toscano: Yes. Thank you. Just one quick - another question I had was, I know you mentioned a decline in private label penetration. Did you talk about what drove that?
Kevin Hourican: Yes. The primary driver is improvement in national supplier fill rate inbound to Sysco. So when a national brand supplier isn't able to ship, we have substitute alternatives. And most often, that substitute alternative is a Sysco brand, because we do a great job of keeping our Sysco brand products in stock at our facilities. So overall, it's a good thing for the industry that national supplier fulfillment rates, have increased and improved. It is a good thing. Nobody likes substitutes. Customers don't like them. Our warehouse operations get their on curveballs, when we have to do substitute. So net-net, it's a good thing. It's a short-term small headwind on the percent of cases, Sysco brand. But again, we grew our pieces, Sysco brand. We grew our profit Sysco brand. Long-term, we are bullish on Sysco brand. We are working on providing trade management deals to all of our customer types. And as I mentioned earlier, we've increased the importance of Sysco brand penetration on our performance objectives for fiscal 2025.
Kendall Toscano: Okay. Thanks again.
Kevin Hourican: Thank you.
Operator: And ladies and gentlemen, due to time constraints, that will conclude our question-and-answer session and Sysco's fourth quarter conference call. Thank you for your participation. You may disconnect your lines at this time, and everyone have a wonderful day.